Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode until the question and answer session of today’s conference. [Operator Instructions] I would like to inform all parties that today’s conference is being recorded. If you have any objections, you may disconnect at this time.  I would now like to turn the conference over to Whit Kincaid. Thank you, you may begin.
Whit Kincaid: Good morning everyone. Welcome to Mueller Water Products’ third quarter 2019 conference call. We issued our press release reporting results of operations for the quarter ended June 30, 2019 yesterday afternoon. A copy of it is available at our website, muellerwaterproducts.com. Discussing the third quarter’s results and our outlook for 2019 are Scott Hall, our President and CEO; and Marty Zakas, our CFO.  This morning’s call is being recorded and webcast live on the internet. We have also posted slides on our website to help illustrate the quarter’s results as well as to address forward-looking statements and our non-GAAP disclosure requirements.  At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call, and discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year which ends on September 30. A replay of this morning’s call will be available for 30 days at 1-866-457-5519. The archived webcast and corresponding slides will be available for at least 90 days in the Investor Relations section of our website. In addition, we will furnish a copy of our prepared remarks on Form 8-K later this morning. I’ll now turn the call over to Scott.
Scott Hall: Thanks Whit. Thank you for joining us today to discuss our results for the third quarter of 2019. I am pleased with our performance in the quarter as the team has produced solid growth both in sales and adjusted EBITDA. Our consolidated net sales increased 9.6% and our organic net sales increased 4.6% as we benefited from both higher pricing and shipment volumes. Our gross margin improved 90 basis points to over 36%, excluding the impact of the inventory step-up at Krausz. This performance helped deliver adjusted EBITDA growth of 13% with favorable contributions from both infrastructure and technologies.  We remain on track to meet the net sales and adjusted EBITDA target ranges we communicated in our second quarter earnings release. We are focused on continuing our momentum in the fourth quarter and finishing the year on a strong note, even as we compare performance to the fourth quarter of the prior year in which we reported a 12% organic increase in net sales.  Looking forward, with the support of our strong balance sheet, we will continue to maintain a balanced approach to capital allocation, which I will address later on the call.  With that, I’ll turn the call over to Marty.
Marty Zakas: Thanks Scott, and good morning everyone. I will first discuss our third quarter consolidated financial results, then review our segment performance. Our consolidated net sales for the third quarter increased 9.6% or $24.1 million to $274.3 million. This increase was primarily driven by the acquisition of Krausz as well as higher pricing and shipment volumes. Our gross profit this quarter improved to $97.2 million or 35.4% of net sales. This improvement was primarily due to increased net sales, which was partially offset by higher costs associated with inflation, manufacturing performance, and a $2.3 million inventory step-up expense at Krausz.  Material costs increased nearly 1% year-over-year in the quarter. As a reminder, our third quarter 2018 results included a $14.1 million warranty charge. We delivered a 90 basis point improvement year-over-year in our gross margin excluding the impact of the inventory step-up expense and prior year warranty charge.  Selling, general, and administrative expenses were $47.5 million in the quarter, a $6.2 million increase over the prior year. The increase was primarily due to the addition of Krausz. SG&A as a percent to net sales was 17.3% in the third quarter compared to 16.5% in the prior year. Operating income was $47.2 million in the third quarter compared to $30.6 million in the prior year. Strategic reorganization and other charges were $2.5 million in the quarter versus $2.6 million in the prior year. Adjusted operating income increased 9.9% or $4.7 million to $52 million in the third quarter. The increase was driven by higher adjusted operating income in infrastructure, which was partially offset by corporate SG&A expenses and a slight decrease in adjusted operating performance at technologies.  Adjusted EBITDA for the third quarter increased 13% or $7.5 million to $65.4 million. Consolidated adjusted EBITDA conversion margin was 31% compared to 17% in the prior year. For the last 12 months, adjusted EBITDA was $195.1 million or 20.4% of net sales. Over the prior 12-month period, we have increased adjusted EBITDA 10.8% or $19.1 million.  Our adjusted net income per share was $0.24 for the quarter compared to $0.19 in the prior year. Our 2019 quarterly adjusted EPS excludes the strategic reorganization and other charges mentioned earlier, the inventory step-up expense, and a $0.5 million of interest expense associated with the Walter Energy accrual.  Turning now to segment performance, starting with infrastructure. Infrastructure net sales increased 11.6% or $26.1 million to $250.2 million in the quarter. This increase was due to the sales from Krausz as well as higher pricing and shipment volumes. Organic net sales this quarter increased 6.1% versus the prior year. Adjusted operating income for the quarter increased 10.4% or $5.9 million to $62.9 million excluding the inventory step-up expense. The increase was primarily due to higher pricing and shipment volumes and the inclusion of Krausz, partially offset by higher costs associated with inflation, increased SG&A expenses, and manufacturing performance. Adjusted EBITDA for the third quarter increased 12.1% or $8 million to $74.2 million, yielding an adjusted EBITDA margin of 29.7% for this segment. Adjusted EBITDA conversion margin was 31% compared to 19% in the prior year. Moving on to technologies. Technologies’ net sales decreased $2 million to $24.1 million in the quarter, driven by lower volumes at Metrology which were partially offset by sales growth at Echologics. Adjusted operating loss increased $200,000 compared to $2 million in the prior year primarily due to lower shipment volumes and manufacturing performance, partially offset by improved product mix and lower SG&A expenses. However, technologies’ adjusted EBITDA improved $300,000 in the quarter. Now I’ll review our liquidity. Cash provided by operating activities for year-to-date 2019 was $17.8 million. The decrease compared to the prior year period was primarily driven by the timing of payments, including a $36 million increase in cash taxes and cash interest. We also invested $52.9 million in capital expenditures in the period, which is $26 million more than the prior year as we accelerated investments in our manufacturing capabilities, particularly our large casting foundry in Chattanooga. At June 2019, we had total debt of $446.2 million and cash and cash equivalents of $140.7 million. At the end of the third quarter, our net debt leverage ratio was 1.6 times. I’ll turn the call back to Scott to talk more about our results and outlook for 2019.
Scott Hall: Thanks Marty. We are in the early stages of a transformational process as we take a company with a strong history of manufacturing iron and brass products for municipal and residential infrastructure to one that provides more intelligent, value-added solutions to help customers manage and deliver important resources. Our solid third quarter performance is a reflection of the progress we have made to date on our key strategies to create a strong foundation for future growth. Our team members continue to elevate their execution as we have faced a more challenging external environment from slower growth in housing starts and trade concerns, among other factors.  Through the first three quarters of the year, our consolidated net sales increased 6% with adjusted EBITDA growth around 12%. As a result, we delivered a 38% adjusted EBITDA conversion margin versus 20% in the prior year. Our year-to-date adjusted EBITDA margin increased 110 basis points over the prior year to 20.2%, driven by improvements at both infrastructure and technologies. Infrastructure’s year-to-date adjusted EBITDA increased nearly 8%. At technologies, we continue to make progress on initiatives to improve margins, which have led to a $2.5 million improvement in adjusted EBITDA through the first three quarters of the year. Looking forward, with the support of our strong balance sheet, we will continue to maintain a balanced approach to capital allocation. As I have mentioned previously, our company underwent multiple decades of under-investment. In general, capital investments to upgrade facilities were de-prioritized. As a result, we will further accelerate capital investments to improve our manufacturing operations and enhance the technological fundamentals in our business. We have previously discussed our large casting foundry expansion at our Chattanooga facility, which will expand our product capabilities and improve costs for some of our specialty valve products. We remain on track to complete this project by the end of this year.  We are initiating a multi-year project at our brass manufacturing facility in Decatur, Illinois which will enable us to unlock significant efficiencies for both infrastructure and technologies. Our Decatur operation, which includes a brass foundry, manufactures brass products and parts for valves and hydrants. The Decatur foundry has been critical to Mueller’s success; in fact, the company was founded in Decatur over 150 years ago and some of the structures date back to the early 1900s. We believe further investment to expand capacity and technological capabilities will help us enhance execution of our key strategies, including accelerating new product development and cost efficiencies.  Over time, we expect the capital investments to modernize and expand our facilities, like the Decatur investment, will lead to non-price gross margin improvements and enhance our adjusted EBITDA conversion margins. Additionally, we expect these initiatives will drive above-market sales growth and improve manufacturing performance. Over the next few years, we plan further reinvestments in our manufacturing base before returning to a more normalized level. As we improve our execution, we will also continue to return cash to shareholders through our ongoing share repurchase program and quarterly dividend. During the third quarter, we repurchased $10 million of stock and most recently we announced an increase in our quarterly dividend.  I will wrap up my comments with a review of our current full-year 2019 expectations for consolidated results. During our fourth quarter, we anticipate growth in all of our end markets. We believe the municipal end market remains healthy despite challenges from severe weather and labor constraints. Our expectations for the residential construction end markets remain positive despite the challenges from weather and slower growth from the housing starts during the year. We anticipate that our 2019 full-year consolidated net sales growth will be towards the lower end of the 7 to 9% range we communicated in our second quarter earnings release; however, we expect our adjusted EBITDA growth will be towards the midpoint of the 12 to 15% range previously provided. We are focused on finishing the year on a strong note and are excited about the opportunities ahead of us in 2020 and beyond.  Marty will now provide some final comments on our 2019 outlook.
Marty Zakas: Thanks Scott. For full year 2019, we expect that depreciation and amortization will be about $53 million. Corporate SG&A expenses are expected to be between $34 million and $35 million. Net interest expense is expected to around $21 million. Our effective income tax rate for the full year is expected to be between 23% and 25%. Finally, we currently expect capital expenditures to be about $80 million and we continue to evaluate additional investment opportunities. With that, Operator, please open the call for questions. 
Operator: [Operator instructions] Our first question comes from Michael Wood from Nomura Instinet. Your line is open. 
Ryan Coyne: Good morning, this is Ryan Coyne on for Mike. You didn’t change your end market assumptions for 2019, so just curious what’s driving this shift to the lower end of the 7% to 9% sales range.
Scott Hall: Yes, I think we did change it a little bit in that we said at the lower end, because I think that housing starts in general have been below, I think, everybody’s expectations, but I think that the fundamentals in the muni market and the fundamentals with what’s left in housing is still good enough to get us to the bottom end of the range by the end of the year. I think the other thing of import is I think the weather that we saw in Q2 especially slowed construction, and it slowed construction in muni and new housing starts, so we believe that there’s enough family formations or household formations, and with the most recent interest rate deduction that we will continue to see tepid demand for housing starts - not hot, but kind of warm. 
Ryan Coyne: Okay, great, then just one more on capex. You’re guiding to increased capex spend, $80 million from $60 million to $65 million previously. With only one quarter left in the fiscal year, how much of this multi-year capex project is going to be hitting this year, and then what should we expect capex to trend at maybe over the next one to two years?
Scott Hall: Great question, by the way. I think that the legacy of the business is that this is a business that I kind of think of as meeting somewhere --you know, figure around 4% of sales as kind of a target for this kind of technology business, along with some legacy industrial capacity issues, so think about 4%. I think we were under-invested in for decades, and we have this period where this year, I think we’re at 8% of sales, and I think that that is an elevated level that we will see for one or two years and then in the long run, you should expect to kind of get back to around that 4%. I think the other thing of import is that the amount of manufacturing productivity we get and the impact we both get from a power usage, water utilization, some of the ESG considerations are also part of these investments, so I think we’ll be elevated for this year and probably two more, and then we should get back to some normal level of sales.
Ryan Coyne: Great, thank you.
Operator: Our next question comes from Deane Dray with RBC Capital Markets. Your line is open.
Deane Dray : Thank you, good morning everyone. 
Scott Hall: Good morning.
Deane Dray: One of the themes that we’ve seen this earnings season and more from the industrial companies are short-cycle pressures and destocking across distributors. You’re in very different markets than some of these core industrial companies, but are you seeing any of those types of trends this quarter?
Scott Hall: No, I think we actually experienced that a little bit in Q2. If you think back about where we felt we were, we thought inventories were a little elevated at the end of Q1 as a result of the September price increase. We had another price increase in February that probably flattened a little bit of our traditional distributor inventories. We lived through that destocking, if you will, in Q2, and I think that the flow through now with our main distributors is pretty good. I think that what they’re seeing in the way of demand is what we’re seeing, so I think when you look at the waterworks space, in general, we’re going to be pretty close to--when you take their pipe and put it off to the side, we’ll be pretty much looking exactly like they do.
Deane Dray: Good, so that’s the sell-in matching sell through, is that what you’re referencing?
Scott Hall: Yes, perfect.
Deane Dray: Then on this manufacturing footprint investment, can you flesh out a bit more the timing of this towards the end of the year? You did reference a manufacturing performance as one of the headwinds this quarter, so what was the triggering event? It’s kind of a midstream year to make a decision - hey, we’re going to start investing in the footprint here. That part makes sense, but what was the catalyst? Then I’ve got some follow-up in terms of what you expect the return should be on these investments.
Scott Hall: Well, thank you for the question, and let me kind of back up to a higher level for a minute and say that when we look at all of the foundries and we look at modernization opportunities whether it’s for automation or just moving away from cored furnaces to coreless and better power utilization, there’s a lot of opportunities left in all of our melting technologies as it exists today. In particular, when we looked at the upgrades in some of the facilities in Decatur, went and toured and took a hard look, I thought that, as I referenced in my script that investing more money in buildings that were opened in 1920, where the spacing between pillars and some of these kinds of things I thought was a sub-optimization utilization of capital, and thought that we would be better with new facilities.  I think the other big catalyst was talking with our employees there and the union and getting the assurances that we would have a skilled workforce be able to take us through this next generation of technology in the plants, I felt good about it. And I’m not losing sight of the fact, last but not least, that as you look at these kinds of projects, I think--keep me honest here, Marty, but I believe it’s in 2023 that the bonus depreciation treatment from a tax perspective will need to be renewed by Congress, so as we looked at what went in service and that we would get the favorable tax treatment on, we felt like since this was a multi-year project, that we needed to break ground and get going fairly soon. 
Deane Dray: I might have missed this, but what was the reference to the manufacturing performance as a headwind this quarter, and was that a catalyst in moving the decision along to ramp up investment? 
Scott Hall: No, I think that we’ve always been transparent with you guys, and I was not terribly happy with how much productivity we got in manufacturing. I think that from an EBITDA point of view, it was okay but I was expecting more, and I think that many people that remember our Q3 from a year ago would have said we had the first problems in Chattanooga, which really impaired our performance a year ago, and so this should have been a bit easier comp for manufacturing, and I felt like it had some room for improvement there. That’s what the comment was in reference to.
Deane Dray: That’s helpful. Just last one from me, just to clarify, are you prepared yet to talk about what kind of returns you get on this capex internal rate of return? Any sort of metrics like that would be helpful, thanks. 
Scott Hall: I think where we are right now, Deane, is that we obviously have our internal hurdles that we have to meet and I think have our philosophy around stretch, and stretch goals involved. I think I would prefer at this point to consult with IR and finance and say what we’re going to say publicly, but I can assure you that our internal targets are fairly healthy returns on projects like this. But to give you a number, I’d rather defer, if I may.
Deane Dray: Absolutely, thank you.
Scott Hall: Thank you.
Operator: Our next question comes from Bryan Blair with Oppenheimer. Your line is open.
Bryan Blair: Thank you, good morning everyone. I was hoping you could offer a little more detail on the fourth quarter outlook. If we exclude assumed Krausz contribution, still decent growth there baked into the fourth quarter, and obviously a challenging comp with both segments. How should we think about growth in infrastructure and technologies in 4Q?
Scott Hall: I think that the way to think about it is we say we think we’ll probably end up around the lower end of the range, so you can do the weighted average math to get to that 7%-ish kind of number. But I think what we have that is still fairly healthy growth is the nuance of this, is that we still have a lot of the Echologic DX nodes to ship. In Q3, we saw technologies sales disappointing and that was largely due to the lumpiness that we experienced with getting a lot of the Echo shipments that we were expecting to go to some West Coast customers getting pushed into what is our fourth quarter. That kind of, if you will, almost two quarters of demand for Echo in the component business, getting stacked on each other in the fourth quarter gives us the confidence that even if we have a similar housing environment, even if we have a similar muni environment, that instead of detracting from growth, that we expect technologies to help with growth in Q4, and that’s why feel like we can be at that kind of low end of the range.
Bryan Blair: Okay, that’s helpful. I understand your fiscal ’20 guide is not out yet, but from where you stand, can you speak to confidence in sustained growth next year and maybe any difference in end market outlook, as much as you have visibility to that right now? 
Scott Hall: Right. I think I’ll couch it with given the interest rate environment, given the trade environment, as long as everything calms down and settles down, I have no reason to believe there’s any catalysts on the horizon to send us into a period of correction from an economic activity point of view. So no, I think that we continue to see favorable market dynamics - low interest rate environment, low housing inventory, the infrastructure aging problem has not been invested away, so I think that all of the fundamentals you would expect to say yes, it should grow again next year, are in place. On the other side of that, we have these storm clouds building with trade, we have this discussion, it’s almost like everybody’s waiting to see what will send us into a recession because the expansion has--you know, I think we’re now in the tenth year of the expansion. These things increase uncertainty, so I believe that, barring something that sends us into a recession, that the fundamentals in water and water infrastructure and the fundamentals for housing and new developments, curb and sewer, are all positive. You would expect them to provide growth next year and beyond.
Marty Zakas: Probably just the one other thing to remind you of is from a Krausz perspective, for our fiscal ’19 we will have had nine months of acquisition revenue, and as we move into 2020 it will just be our first quarter that will benefit from year-over-year with Krausz as a new entity for us.
Scott Hall: Right.
Bryan Blair: Got it, I appreciate the reminder. In terms of Krausz, how has the integration been to date? Any surprises? Is that business performing as expected? 
Scott Hall: Yes, I think the integration is going very well. I think that we’re seeing good cooperation in both Mueller to Krausz, Krausz to Mueller. I think the sales teams are doing an excellent job of providing a united face, and the work that we’re doing around harmonizing third party representatives and getting our channels of distribution aligned, I think all of that is going very, very well. I think that we’ve had really good growth as well, a couple of record months during the year, so performing as expected; but as I’ve said all along, you don’t buy these kinds of companies for Q1 or Q2, you buy them for the multi-year investment, and we continue to believe that that repair market is going to grow in double digits as this, if you will, the weeble curve of failures accelerates. We think we’re kind of in that inflection point. 
Bryan Blair: All makes sense. One last quick one, if I can. The tax rate guide moved a couple point lower. To what extent was that affected by discrete items this year, or is 23% to 25% somewhat sustainable going forward? 
Marty Zakas: I think overall as we look at the effective tax rate for this year with the current guidance of about 23% to 25%, we did have a lower tax rate in the third quarter, as you saw. Certainly a few items for that, that I would call out. One of the reasons for this quarter was the reversal of uncertain tax position reserves that were reversed this quarter. I think overall, again not specific guidance looking out, but certainly we are subject to the federal statutory tax rate of 21%, certainly need to consider state taxes on top of that, and then just as a reminder, as we’ve discussed with the tax law changes back in 2017, there were some previous deductions that we were able to take advantage of, and I’ll call out Section 199 or manufacturing deductions, that have been eliminated now as part of the tax law changes. 
Bryan Blair: Okay, thanks again.
Operator: Our next question comes from Brian Lee with Goldman Sachs. Your line is open.
Brian Lee: Hey guys, good morning. Thanks for taking the questions. Scott, I think during your prepared remarks around some of the elevated spending and investment here, you did mention specifically EBITDA margin conversion potential expanding. Can you maybe give us some sense of what you might be targeting there? Is it to get back to the historical 35% to 40% drop-through levels, or maybe well above that? Any color there would be helpful, and then just a timeline around when some of this might start to show up in the results.
Scott Hall: Okay, so a bunch of questions there. Let’s break it down. I think the conversion margin, a couple of things I’m a little bit sensitive to in what you said there, Brian. One, our conversion margin when the impact from inflation is normalized, that we’ve seen through the last six quarters, our conversions are in the 30s and so this would obviously be expected to accelerate conversions. I think that you’re going to start to see better and better conversion margins as long as we get back to a stable commodity environment. Secondly, I think that the timing for this--you know, it’s a long cycle project. Its real impacts are going to be ’22 and beyond, basically, and I think we expect the impact to be wide ranging in the context of not just--you know, without getting into any of the competitive information, not just a cost improvement but also some material breakthroughs that will allow us to fundamentally change the chemistry of some of what we made. So without getting into anything more than that, I think that the cost outlook should be for improvement ’22 and beyond, and that yes, you should expect conversion margins to be higher than they would be normally with these changes. What was the third part of your question? I’m sorry. 
Brian Lee: You got it, it was just around the targets and maybe the timeline, so that’s helpful. Maybe just related to that, as you think about this newer capex spending level being the new normal for the next couple of years here, thoughts around free cash flow conversion, any sort of targeted range of levels we should be thinking about during this heightened capex spending environment?
Marty Zakas: I think as we think about free cash flow, I think certainly as we’re going to have higher levels of capital expenditures, that is going to adjust what we’ve given as sort of long-term guidance to be able to see free cash flow approximating our net income. But I think I would expect with these higher levels of capex that we’re going to see, that you won’t see that over the next few years.
Brian Lee: Okay, fair enough. Thank you. 
Operator: Our next question comes from Zane Karimi with DA Davidson. Your line is open.
Zane Karimi: Hey, good morning. It looks like you still have a relatively positive view on the resi portion of your business. Can you provide any more color on the discussions you’ve been having with your customer channel in regards to the market, and does it feel like they’ve found a bottom from the slowdown in this market?
Scott Hall: Well, I think our view, just to be clear, is that so we end up somewhere around, let’s say in that 11.50 to 12 housing start kind of number when it’s all said and done, that the bad Q2 flows through but Q3 and Q4 are the two construction seasons, and we see the summer activity pick up some more, more subdivision curb and sewer going in. That’s our view.  I don’t know how to say I’m going to justify this view based on this, that or the other thing, but I think the pent-up demand that was created from the severe weather and the rainfall impacted resi construction as much as it impacted muni demand, so I think we’re starting to feel like there is push through and flow through at the distribution channel to the contractor community, and that’s what gives us confidence that our Q4, which I’ll remind everybody ends September 30, so it’s this summer construction season, should be enough to give us the confidence that we’ll continue to see a strong order book through the end of the year. Where is the bottom? I think that the question that I would ask is what are the fundamentals around household formation, around availability of inventory of new houses, what’s happening with average price, average house price, things like that. I think they’ve all paused a little bit, but they’re not negative. There’s low inventory, there is opportunity for housing sales to continue, so I think that to call it dead or at the bottom is maybe a little premature. We think that that number--we think long-term equilibrium is around 1.4 million to 1.5 million housing starts, and we continue to see ourselves being in that 200,000, 250,000 housing starts below that, so I think there is room for it to move up. 
Zane Karimi: Thank you for that color there. Then changing topics here onto the capital allocation priorities, you guys have talked about being internally focused right now, but can you also talk about the M&A pipeline and how much of a focus is that for Mueller right now?
Scott Hall: Let me start by saying our capital allocation is to be balanced, and we bought $10 million worth of shares in the quarter, we just increased our dividend a couple of weeks ago, we have increased our capital spending, we’ve done an acquisition this year with Krausz, we continue to have an active acquisition pipeline. We believe the strength of our balance sheet and the position that we have with relatively low net debt leverage, that we can continue to do all of these things in a balanced approach, and we’re committed to remaining balanced. So yes, we continue to look at M&A and yes, we will continue to look at our investment opportunities, both internally, share buybacks, and dividends.
Zane Karimi: Thank you.
Operator: Our next question comes from Joe Giordano with Cowen. Your line is open.
Joe Giordano: Hey guys, good morning. Going through the fourth quarter kind of implied guide, using the low end of revenue and the midpoint of EBITDA, it’s a pretty sizeable year-on-year growth end margin, so can you--I think it’s almost 20% year-on-year growth on 17, something like that, and margins up 200-something basis points year-on-year. Can you talk me through what are the major buckets, where that’s coming from? 
Scott Hall: Yes, I think the biggest piece is going to be coming from the bump we get from technologies. As I’ve referenced earlier, it’s primarily a lot of pent-up unit sales of the Echologics Echo-Shore DX, and then just continued execution in manufacturing. We’re going to lap--in September, we’ll lap the September price increase, but we still have a fairly healthy conversion on the impact of having a--basically being in a period right now in our ballast and hybrids business of two price increases, one in September a year ago and then another one in February. They’re the main reasons.
Joe Giordano: Is the commentary you’re making on tech, on the bump-up in sales, is that going to--how does that impact profitability, and related to that, is that $100 million run rate, is that the forward expectation now, and if it is, what’s required to meet sustainable profitability there?
Scott Hall: Let me start by saying tech overall, I’m relatively pleased with where the team has gotten, both from managing the business closer, relatively small amount of growth there but we have $2.5 million of EBITDA improvement year-to-date, through the first nine months.  The second part of your question is what do we need to get to breakeven? I think the business, it is $125 million, there is opportunities both from an efficiency point of view and from a price and discipline point of view, that we should be able to get to breakeven when we scale a business that large, and we’re still not there but I think that that talking a quarter area, we should have enough scale that we could be through breakeven. With all of that said, we still have to take share smartly. We have to grow our sales smartly and not just use price. We have to find other sources of sustainable strategic advantage, and one of those areas, which I’ve been saying for a long time, is--and I think anybody who was at ACE got a little taste of it, is that the strategic importance of the technologies group in order to put sensing abilities in our fire hydrants, in our valves, in our insertion valves, is terribly strategically important for us in the long term. We’ve just started with software introductions that can do both acoustics, flow metering, and pressure. We’ve got flushing technologies that are out there now as well, so I think that technologies, let’s call it their contribution to where we are from the infrastructure health and where we are from pricing power, where we are from channel power in the infrastructure business, it’s terribly important and I think we continuously overlook it.
Joe Giordano: Thanks.
Operator: Our next question comes from Andrew Buscaglia with Berenberg. Your line is open.
Andrew Buscaglia: Hey guys, thanks for taking my question. Can you talk a little bit about your--you know, your capex is a little bit more elevated. Does it change the way you think about M&A? Was there a reason why you maybe are pushing forward with a little more capex and that maybe M&A is not something you see as likely near term?
Scott Hall: No, as I said, we want to be balanced. We’ll continue to look at the M&A pipeline. We think we have the capacity to do both, I think that even on the cash flow conversion, as we talked about, but I still think we have opportunity from working capital, opportunities from other ways to generate cash as well. I think that we are going to be balanced, but with that said, I think that we believe we’re in a period that with the bonus depreciation structure that it’s certainly in our favor to go ahead and take advantage of the bonus depreciation through 2023 as much as we can, because all it will do is create the cash out for capex and turn it into cash out for cash taxes.
Andrew Buscaglia: Yes, okay.
Scott Hall: If you do the math, it’s compelling. 
Andrew Buscaglia: Right, yes. Okay. Any reason why your SG&A--I would have thought your SG&A would be a little bit lower across both segments, and then looking forward, should we be modeling an elevated SG&A right now? It seems like your sales are going to come in at the low end of what you’re expecting, so you would think that SG&A would maybe trend a little bit lower. 
Scott Hall: I think that--you know, from this discussion from before, I think you’ve got to take the piece that’s the impact of the acquisition, and maybe what we can do is call that out. But there’s an infrastructure of people all around the world that’s associated with Krausz and the Israeli facilities - we have a dual facility running, the Tel Aviv manufacturing facility will close at some point here in, let’s call it the next six months and we will have everything in Ariel, and then you’ll get some SG&A efficiencies there. But the largest increase, if you look for the past two years to our total SG&A spend, has come as a result of the Singer acquisition and the Krausz acquisition.
Andrew Buscaglia: Okay, then maybe just one last one. Your technologies, your top line saw a decline, but seasonally usually Q4 tends to be strong. Should we think about that seasonality similarly? I guess I’m just looking at what it was last year. Is there any dynamics in the year end where you might see a pick up, could still see year-over-year growth despite a tough comp from last year?
Scott Hall: I think that last year, everybody needs to remember we had the bulk of shipments that got hung up at the end of Q3 that shipped in Q4, I think it was around $2.5 million, so it is a tough comp. That’s such a lumpy business that I would say that it’s project based and lumpy, that I would expect--you know, I expect the lumpiness to help us in the Echo business but I’m not sure what we have in terms of visibility for meter shipments.
Andrew Buscaglia: Got it, okay. Thanks.
Operator: Our next question comes from Walter Liptak with Seaport Global. Your line is open.
Walter Liptak: Thanks, good morning guys, and congratulations on a nice quarter. Wanted to ask about the EBITDA improvement in technology. EBITDA up $2.5 million year-to-date from last year, and the quarter was a little bit better. Was it something structural that changed or was it a mix? Why is EBITDA in tech looking better this quarter? 
Scott Hall: I think it’s a combination of things. They’re running the business better, I believe. They’re being more responsible around what business we take and what business we don’t take, and we’re not chasing volume at breakeven on some of them. I think also that the distribution channel as we’ve executed our strategy around getting our channel house in order, if you will, and we’re now picked up and we have primary relationships with some of the same large distributors that our valves and hydrants business has primary relationships with, we’re getting some operational efficiencies there because when you have large customers, you can actually see the demand and you can make the schedule and you can avoid overtime and you can avoid a lot of the inefficiencies that come with [indiscernible] and plant around. I think the $2.5 million has been a combination of price discipline and manufacturing efficiency improvements, if you think about it on basically flat volume. It’s all operational.
Walter Liptak: That’s great. The fourth quarter, we are going to get close to the $100 million run rate. Could the fourth quarter be at a breakeven profit level? 
Scott Hall: I don’t think so. I think that we’ve still got--I’m just looking at the math, where they are. There would need to be massive improvement in either margin or cost containment, so I think it’s--I don’t know what the number would be, Walt, but you can do the math.
Walter Liptak: Okay, we’ll do our best, but you’ll still get the price and manufacturing benefits, I guess. Just thinking about the channel inventory, you made some comments about how you’re seeing sell through now into the fourth quarter with some of your contractors in municipal and resi. Are you saying that the inventory levels are good now, that any excess inventory from weather has now cleared out and you’re getting better sell through into the fourth quarter?
Scott Hall: That’s what we believe. I mean, after the Q2 slowdown where we think there was some destocking from Q1 going on, when we do our monthly reconciliation from what they’re saying versus what we’re saying, those numbers for our product lines are pretty close, so that would indicate that the sell through is matching pretty closely.
Walter Liptak: Okay, great. All right, thank you.
Scott Hall: Thank you. I want to thank everybody for joining us this morning. One of the things I want to make sure everybody is left with is I’m very pleased with our third quarter performance. I think the growth in net sales and the adjusted EBITDA and adjusted EPS are all a testament to the execution the team has undertaken. I think that we have a little more room for improvement in manufacturing, but the channel execution, helping us get price, getting more price than inflation, even the impact of tariffs which we didn’t talk about this morning, all really, really positive. I think we remain on track to meet the net sales and adjusted EBITDA target range as we communicated in our second quarter earnings release, which I think given what was a difficult second quarter, is also a testament to the culture of execution we’re trying to build here. I think that we’re focused on continuing our momentum, we believe our end markets remain healthy, I think driven by steady growth in muni, and with residential construction markets returning to steady growth this year, I think the team is excited about the future as we prioritize reinvestments in our people, processes and our facilities, and I think it’s a time for us to accelerate capital spending to upgrade our manufacturing capabilities, especially at our three foundries. I just wanted to reiterate that this strategy that we have been following that allows us to grow sales, to improve conversion margins and drive adjusted EBITDA margin, is what we’re about executing. I just want to thank you all for your interest and I hope you have a great week, but once again, very pleased with the quarter. Thank you.
Operator: Thank you. That does conclude today’s conference. Thank you for participating. You may disconnect at this time.